Operator: Good morning. My name is Jessica and I will be your conference operator today. At this time, I would like to welcome everyone to the Turquoise Hill Resources Q3 2019 Financial Results and Overview of Operations Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session [Operator Instructions]. Thank you.Roy McDowell, Head of Investor Relations, you may begin your conference.
Roy McDowell: Thank you, Jessica. Good morning. I’m Roy McDowell, Head of Investor Relations and Communications. Welcome to our third quarter 2019 financial results conference call. Yesterday, we released our third quarter 2019 results press release, MD&A and financial statements. These items are available on our website and SEDAR.With me on the call are Ulf Quellmann, our CEO; Luke Colton, our CFO and Jo-Anne Dudley, our COO. This call and presentation includes certain forward-looking statements and information, we refer you to the forward-looking statements section of the annual information form dated March 13, 2019 supplemented by our MD&A for the three months and nine months ended September 30, 2019.And now I would like to turn the call over to our Chief Executive Officer, Ulf Quellmann.
Ulf Quellmann: Thank you, Roy and good morning to everyone. Thank you for joining us for our third quarter 2019 financial earnings call. Today we’ll provide you with both color on our third quarter 2019 operational and financial results which we released yesterday, as well as with an update on the commissioning of Shaft 2 and the underground development of the world class Oyu Tolgoi mine.This was a significant quarter for the Oyu Tolgoi team and our shareholders Shaft 2 construction has now been completed and we’re on the final stages of commissioning. Shaft 2 will enable us to accelerate the underground development and progress one of the top tier 1 ore bodies on the planet. Operationally, the third quarter 2019 was another strong quarter for the company from both a production and a safety perspective.Our Oyu Tolgoi team has continued to maximize the production from the open pit and as a result, we once again increased our 2019 gold production with target moving from 230,000 to 240,000 ounces while lowering at the same time our 2019 C1 copper cash cost range to $1.50 to and $1.70 range. Both are continued to build our excellent safety track record Oyu Tolgoi achieved another strong ore injury frequency rate of 0.18 to 200,000 hours worked during the nine months ended September 30, 2019.As you know safety is a top priority for us and is at the heart of everything that we do. Safety mining this deposit is central to who we are and it’s critical to our continued success. During the third quarter of 2019, Oyu Tolgoi produced 28,446 tons of copper and 25,607 ounces of gold. Nine-month production totals of 113,400 tons of copper and 217,500 ounces of gold kept Oyu Tolgoi on track to achieve both its’ full year 2019 operational copper and in now upwardly revised gold production guidance.Open pit operations are expected to continue mining from the lower grade Phase 4B, the lower grade Phase 6 material through the remainder of the year. Build throughput for 2019 is expected to be approximately 45 tons and it includes the processing of some material from mines stockpiles. Turning to underground development, construction of Shaft 2 is now complete and has entered into the final stages of commissioning.In addition, we completed a number of final construction activities in the third quarter of 2019 Shaft 2 jaw crusher system and the Shaft 2 service discharge conveyor. It’s important to note that the underground completed to-date has not been affected by pending changes to our mine design. Ore infrastructure developed to-date remains usable and in the appropriate locations for all of the mine design options under review.I’d also like to note that Turquoise Hill is heading into the fourth quarter of 2019 on a solid financial footing with a robust balance sheet. As of the end of September 2019, Turquoise Hill has $2.7 billion of available liquidity which is expected to fund our operations and underground development into the first quarter of 2021.Breaking down our operating performance during the third quarter of 2019, we remain on track to achieve our 2019 guidance of 125,000 to 155,000 tons of copper and are now increased gold production guidance of 240,000 ounces. Q3 solid operational performance was impacted by a plant shutdown brought forward from October into September combined with higher than planned feed from the harder Phase 4B ore. Both copper and gold production decreased 27.8% and 66.8% respectively compared to the year ago period. Bill throughput increased by 4% in the third quarter of 2019 compared to the year ago period as a result of processing soft ore [ph]. Underground development in the third quarter was very encouraging as we achieved a new record for lateral development and moved Shaft 2 into the final commissioning phase.During third quarter, rope up was completed for both the service cage and the production hoist, with the service cage successfully completing low test runs while low testing of the production methods continued into October. Construction of Shaft 2 has been completed and it is now in the final stages of commissioning. Shaft 2 is a 10-meter diameter shaft sunk to approximately 1.3 kilometers below the surface. This is a critical piece of infrastructure that will accelerate the underground development of the Oyu Tolgoi mine.The shaft uses the world’s largest production hoist motor that can lift 60 tons skips. When operating at maximum capacity production hoist has the ability to lift 35,000 tons of material to the surface daily. With the construction of Shaft 2 complete and the service hoist operating permit being granted. The service hoist now allows us to transport 300 people per cage cycle versus a maximum of 60 people per cage cycle through Shaft 1. 48 tons capacity cage can now be used to support logistics, transporting supplies and components for the development of the mine.Commissioning of the production hoist continues with over 2,700 tons of rock successfully hoisted to the surface and we continue to work with the regulatory authorities to finalize the permitting. We look forward to utilizing this major increase in capacity to accelerate our underground development.Turning to the lateral underground development and infrastructure progress. The third quarter has witnessed strong productivity gains. Extensive focus on the most critical development areas over the past five months has reaped substantial improvements as the underground development progressed 3.6 total equivalent kilometers during the quarter with the team achieving a record 1,385 equivalent meters of lateral underground development in September. Since the restart of the underground development, 28 total equivalent kilometers and 22.1 kilometers of lateral development has been completed.In addition to the progress made on Shaft 2 and the accelerated lateral development. Shaft 3 pre-assembly of head frame modules commenced during the third quarter, while Shaft 4 vertical assembly of the sinking stage was completed along with the commencement of stage fit-out. Primary Crusher 1 civil works are ongoing with the team successfully constructing the 8 meters of wall at the underside of the surge bin and the completion of the mine dry building.With that, let me now turn the call over to Jo-Anne Dudley, our Chief Operating Officer who will provide you now with an update of our work to finalize a new mine design. Jo-Anne.
Jo-Anne Dudley: Thank you, Ulf. Hello, everybody. Please turn to Slide 8. The highest grade Panel 0 remain the initial target and a number of refinements are under review to determine the mine design. The first of the decisions that have been made is to retain a mid Axis drive only on the apex level of Panel 0. This is an integral step towards completing the final mine design however it is too early to accurately determine the potential impact on cost or schedule. Decisions on productivity assumptions and footprint underground infrastructure such as the location of the ore passes and options for panel sequencing will need to be completed before an update on the development capital or schedule to be finalized.The design modifications being considered a focus around the Panel 0 mining area. All the other major infrastructure such as Shaft and primary crushers are unchanged from feasibility study plans. It should be noted that Panel 0, which is the highest grade design of the Oyu Tolgoi underground remains our priority target irrespective of the design changes. The mine design works form the basis for the definitive estimate mine plan focuses on several design alternative. They’re aimed at reducing risk to production ramp up in loss of additional geotechnical information we now have. Productivity rates are also under review as a result of experienced to-date.The company will continue to focus on minimizing the impact to the production schedule and cost as it works through the detailed analysis and testing of each mine design modification and will update the marketing conjunction with the progression of the definitive estimate review. In addition to working closely with Rio Tinto, Turquoise Hill has engaged independent third-party consultants to provide the company’s insights and technical support into the planning and estimate process that is currently underway.Independent experts also providing insight into the progress of key construction work at the mine site. We continue to expect the definitive estimate to be completed in the second half of 2020. I’ll be available for questions. But in the meantime, Ulf, would you like to continue.
Ulf Quellmann: Yes, thank you very much. Jo-Anne. Let me turn to Slide 9. In reference to our partnership with the Government of Mongolia we continue to work constructively with the government on multiple fronts. The Parliamentary Working Group is on the process of drafting resolution which will then be reviewed by the Economic Standing Committee and in the meantime the Mongolian Tax Authority and Oyu Tolgoi LLC continue to negotiate the $155 million tax assessment.Oyu Tolgoi is also at an advance stage with a competitive tender process to award a turnkey engineering procurement and construction or EPC contract for construction of the Tavan Tolgoi-based power plant and has shared certain preliminary cost estimates for the project with Turquoise Hill and the Government of Mongolia.I’d now like to turn the call over to our Chief Financial Officer, Luke Colton to speak about the company’s financial performance for the third quarter of 2019. Luke?
Luke Colton: Thanks, Ulf and good morning everyone. If I could get you to please turn to Slide 10. I’ll give you a summary of your key financial metrics for the third quarter of 2019. Starting off with revenue in the third quarter was $209 million which represents a decrease of 15% compared to $246.5 million in the third quarter of 2018 and that’s primarily due to the significant expected decreases in gold and copper production as we transition to the lower grade Phase 4B ore and stock piles.Cash generated from operating activities in Q3, 2019 was $6.1 million compared to $76.2 million in the third quarter of 2018. Cash used in operating activities before interest and tax, was $13.1 million in Q3, 2019 and that compares to cash generated of $52.5 million in the year ago period, that primarily reflects the impact of lower sales revenue and movements in working capital.The company recorded income of $45.1 million for Q3, 2019 and income attributable to owners of Turquoise Hill of $71.7 million or $0.04 per share. This is compared to income of $15.2 million and income attributable to owners of Turquoise Hill of $53.2 million or $0.03 per share in Q3, 2018. The increase in income from Q3, 2018 to Q3, 2019 was primarily due to the impact of additional deferred tax assets recognized in Q3, 2019 when compared to Q3, 2018 and this is partially offset by lower gross margin resulting from the lower sales revenue.C1 cash cost of $2.14 per pound to copper produced increased 29.7% from a $1.65 in Q3, 2018 reflecting lower copper production. This movement will be discussed in a bit more detail on the next slide. C1 cash cost guidance for the year has been reviewed down to a range of $1.50 to a $1.70 per pound of copper produced. This is due to the impact of the increase in the gold production guidance combined with the revised reduction and operating cash cost guidance to approximately $800 million.If you look at Q3, 2019 in isolation C1 cash cost of $2.14 per pound of copper produced were above the full year expected range due to the impact of lower gold sales revenue driven by the lower gold production. All in sustaining cost of $2.84 increased 24% from $2.29 in Q3, 2018. Similar to the C1 cash cost, the increase was primarily due to a reduction in copper production partially offset by lower royalty cost resulting from the lower sales revenue in Q3, 2019 versus Q3, 2018. Capital expenditure was $329.2 million in the third quarter compared to $328.28 million in Q3, 2018 and includes $297 million in underground development spend with the remainder related to open pit activities.In addition, OTF further capital commitments of $0.8 billion as of 30th September, 2019. Turning to Slide 11, where we show the reconciliation of OT C1 cash cost per pound of copper produced from the third quarter of 2018 to the current quarter. The principle movement was driven by the lower copper production and is impact upon direct cost as well as with impact upon TC’s, RC’s and freight differential cost. While total gold revenue decreased period-on-period there was actually a marginal benefit when considering the amount of gold revenue on a unit basis per pound of copper produced.Moving to Slide 12, Turquoise Hill’s liquidity balance at the end of quarter three, 2019 was $2.7 billion with $1.6 billion in cash and cash equivalents and $1.1 billion of remaining project finance proceeds. We currently expect to have enough liquidity to fund operations and underground development including a progression of Oyu Tolgoi based power plant into Q1, 2021. As a result of the incremental underground CapEx and further scheduling delay, which we announced in July. We will require significant incremental financing to sustain underground development and construction of Oyu Tolgoi based power plant beyond this timeframe.As is been previously noted, there is an option to raise additional external financing. I’m not subject to the required approvals to assist and funding development going forward including during underground commissioning and ramp up. However, there are important variables that could impact the ultimate amount of additional financing required whilst progression of the definitive estimate will continue to clarify the company’s funding requirements.We’ve put forward a proposal to Rio Tinto to help us source increment to funding necessary to progress underground development over and above our $2.7 billion [ph] available liquidity and with that I will hand the call back to Ulf.
Ulf Quellmann: Thank you, Luke. Turning to Slide 13, the Oyu Tolgoi Hugo North underground deposit is one of the best Tier 1 ore bodies on the planet and the significant progress made during the third quarter has allowed us to accelerate the underground development and drive closer to reaching for a sustainable production.During the third quarter we witnessed record underground lateral development and increase to the gold production guidance, the decrease to our C1 cash cost guidance and an integral decision for the update mine design which is the retention of mid access drive on the Apex level of Panel 0. Shaft 2 constructions is complete, but the service hoist now able to lift 300 workers per cage cycle and it is in the final stages of commissioning and we entered the fourth quarter of 2019, with sufficient liquidity to fund our operations into the first quarter of 2021.We continue to work towards the completion of the final mine design targeting the highest grade Panel 0 and we expect to be able to provide our shareholders and the markets with an update in early 2020 and a final definitive estimate in the second half of 2020. The Oyu Tolgoi team which is made up of 92% of Mongolian Nationals has a proven track record of operational excellence and a strong safety record.As we move closer to the milestones of the definitive estimate and first sustainable production, we drive closer to the monetization of our shareholders of a rare high grade, low cost, long life, copper and gold deposit. And in conjunction with our world class partner, Rio Tinto. Turquoise still remains committed to working with our Mongolian stakeholders to bring the Oyu Tolgoi underground mine into production.So, with that, let me now turn the call over for questions back to the operator. Jessica, I think that’s you handling that, if I could hand the call back over to you please.
Operator: [Operator Instructions] Your first question comes from Orest Wowkodaw of Scotiabank. Please go ahead.
Orest Wowkodaw: I apologize for the phone call adhere [ph]. Just curious on the financing proposals, you mentioned that you’ve put a proposal forward to Rio Tinto and I’m curious whether that proposal would include a potential streaming transaction for the precious metals and or whether there’s any potential for bridge loan from Rio Tinto until some of the other issues are sorted out?
Ulf Quellmann: Orest, thanks for the question. Let me just ask Luke maybe he’ll respond to that, as is the - thanks for the questions, Orest.
Luke Colton: Yes, Orest. Thank you very much for the question and I can certainly appreciate the reason why you’re asking it. You can appreciate from our perspective we’re looking at all of our options at this stage and you can also appreciate that, at the moment we do still have $2.7 billion in liquidity specifically sort of related to the discussions with Rio. We’d love to be in a position to give more detail, but you can appreciate at this stage we’re not really in a position to be able to do that those discussions at this point are confidential. But rest assured, we’re certainly engaging with Rio Tinto and we have the best interest of Turquoise Hill as a company in our minds as we are having those discussions with Rio.
Orest Wowkodaw: I mean that being said, can you talk broadly about what non-dilutive financing options you’re considering among the suite of available options?
Luke Colton: So again I appreciate the importance of that question and rest assured from a Turquoise Hill perspective, from the perspective of our company and doing what’s right for our shareholders. We have looked at and are looking at the options you would expect us to be looking at and we’ve cast the net very wide. But in terms of the actual discussion with Rio Tinto at this stage around the proposal that we put forth, it wouldn’t be appropriate at this time to go into any more detail.
Orest Wowkodaw: Okay, maybe if I could ask this one more different way. Is there anything structurally that would prevent a theoretical streaming transaction in the case of OT?
Luke Colton: Not that I’m aware of at this stage, but you can obviously appreciate in relation to any form of financing that we may want to put forth or we might – may want to take forward for everyone’s consideration, you can appreciate under the agreements that we’ve got, there are definitely sort of approval rights etcetera. All of that has to be taken into consideration from a structural perspective at this stage I’m not aware of anything. Obviously, there’s more work to do in that space. But at the moment I’m not aware of anything Orest.
Orest Wowkodaw: Okay, thank you very much guys.
Operator: Your next question comes from Dalton Baretto of Canaccord. Please go ahead.
Dalton Baretto: I was also going to ask, if my name’s in question but it doesn’t sound like we’re going to get a whole lot of detail today. So maybe I will ask a different one instead I was supposed to hear you say that the Parliamentary Working Group is still drafting the resolution, I bet it hasn’t hit the Economic Standing Committee yet. Can you maybe give us a sense when you expect the Standing Committee to actually review the stuff and when you expect them to get back in change of what their ask is?
Ulf Quellmann: Yes, thanks Dalton for the question. And we’d love to give you a specific time. I think the Parliamentary working Group process as you know it has been unfolding for a long period of time going back into the early part of last year and as much as we’d love to give you visibility. I think Dalton we got to recognize it’s not a process that we control, it’s really run of course by the Mongolian authorities, we got to respect that. We have maintained together with OT and Rio as joint stakeholders’ constructive dialog for a period of time. But we cannot simply because we don’t control the process to give you a specific time as to when that resolution might be drafted and when it turns to something that we then need to respond to. In the meantime, we’ve engaged very much involved but it’s really a process that is run and controlled by the Mongolian Authority and we’ve remained engaged, but don’t control and therefore can’t give you a specific date, Dalton.
Dalton Baretto: Okay, no problem. Maybe I can ask a slightly different question then, if you got sufficient funding lasting through Q1, what is the absent and latest that your syndicate needs to have the information it requires before it can make a decision.
Luke Colton: Right, so – we do at the moment as kind of we said in our earnings call and MD&A. we do think we have enough liquidity at this point to take us into Q1 of 2021 and obviously there is a lot of work being done in OT level and other places to try and optimize the spend, push that data out, if we can. In terms of the engagement with the PF lenders, there have been engagement with PF lenders those discussions are ongoing. We do have a pretty good idea of what that process would be and sort of the timing associated with it, it’s probably somewhere in the sort of nine-month range, maybe a little bit more than that. But you can appreciate that we’re looking at other options as well.
Dalton Baretto: Okay. And then maybe just one last one from me, I thought I heard you say that you’ve got a general sense now or some sort of a ballpark number of what the EPCM contract on the power plant would cost. Are you able to share that with us?
Luke Colton: Yes, so we have been provided with a preliminary figure from Rio. I understand, that’s also been shared on a preliminary basis with the Government of Mongolia, but we’re not yet in a position, and I apologize for this, we’re not yet in a position where we’re ready to make that number public. There is still internal review and assessment that we need to do within TRQ with the help of our independent advisors to make sure that we’re comfortable with the number and that it’s a number that we can stand behind. And that’s something that we’re working very hard to do currently and we’ll do it as quickly as we can.
Dalton Baretto: Okay, thanks guys, that’s all for me.
Operator: [Operator Instructions] Your next question comes from Craig Hutchison of TD Bank. Please go ahead.
Craig Hutchison: Hi guys, a couple of questions for me. Obviously, you can’t say too much on the financing. But have you submitted the proposal that you submitted to Rio? Have you also submitted that to the Government of Mongolia?
Ulf Quellmann: It’s been submitted to Rio at this stage.
Craig Hutchison: But it hasn’t been shared with the government, Okay. In terms of the Power Sourcing Framework Agreement, you mentioned that in your MD&A, there are certain milestones that have passed and you’re seeking to, I guess, make adjustments to these milestone table. Can you talk about what those milestones are and I guess why were they missed?
Ulf Quellmann: Yes, sure. So if, and that PSFA document, it is actually on our website. So you could actually go and have a look at this in a bit more detail if you wanted to. The end date, so probably the most important milestone is to be in a position where we have a power plant up and running by, I believe its 30th June of 2023 and that’s obviously still something that everybody is working toward. There were some interim milestones over the course of 2019 some of those had to do with sort of funding principles and agreeing those funding principles with the Government of Mongolia. There are other sort of milestones that kind of are tied to the sort of EPC process and negotiation of agreements related to the TTPP power plant. Some of those agreements, the EPC process itself is still ongoing, but we obviously are working quite hard to complete all of that hopefully in the near future, certainly as quickly as possible. And in the meantime, there has been good engagement with the Government of Mongolia to keep things understood between the various parties and you know as necessary to discuss whether or not those milestone timelines need to be relooked at and renegotiated.
Craig Hutchison: Okay, thanks. As we sort of shift forward to 2020, I realize you guys haven’t put out your guidance and I know typically you put it out in December or early January, but can you just give a sense in terms of what you’re thinking in terms of throughput and grades in particular gold grades, do you think gold grades will materially pickup from these levels or should we expect in both gold and sort of copper grades to be similar levels to 2019?
Jo-Anne Dudley: Hi, Craig, thanks very much for your question. So, as you mentioned the detailed guidance will come out in December. The way that the planning work is done at Oyu Tolgoi is to maximize the cash flow based on dollars per mill out [ph] through the plant and that takes into account both some copper and gold value. And so we are working on maximizing the value and that drives, and that, and where we, the position we are in the pit, drives those metal levels as we progress. And so, a good way to think of it is that we are thinking through Phase 4B toward, down towards the bottom of the pit, which is higher in grade, but we are progressing on the margins of that pit at the moment, and that is reflected in our current performance. So for the detail, I think we need to wait until December, but the team at site is working really hard to optimize revenue for the business given the current situation. And you know, they’re doing a great job of controlling costs and trying to focus on generating value for the business.
Craig Hutchison: Okay. Maybe just a broader question, do you think the open pit to be free cash flow positive at current spot prices?
Luke Colton: At current spot prices, listen, Craig, I think the answer to that question is, we’re looking at it, now we’re going through our planning and budgeting process, obviously, making sure we understand the assumptions that underlie that planning and budgeting process and what the sensitivities to it might be, but we will issue guidance as soon as we can, we’re targeting December at this stage.
Craig Hutchison: Okay guys, thanks for taking my questions and thanks for the update.
Operator: There are no further questions at this time, please proceed.
Ulf Quellmann: Okay. Thanks, Jessica. Thanks everyone on the line. Look, thanks for dialing in this morning. I appreciate that there were some questions where people were looking for some more specific answers, which we have to sort of defer to a later point in time that is not obviously because we’re not working on things. I think from our perspective, the third quarter highlights were really ones that say, the operational performance of the team has been really strong, Jo-Anne just commented on that, what the team at Oyu Tolgoi is driving for is to run the open pit mine as efficiently, as safely, as productively, as a cash generative, as positive - as possible both this year and that is true for next year, and the year thereafter.And in part that’s driven by the fact that the team realizes of course that with time delay we had on the underground; we need to do everything we can to get the open pit operation to compensate as much as possible that cash flow that we now need. So that’s, that’s an important thing for the team to do and that’s what Armando Torres, the CEO of OT and his team are doing.The second piece is, I think, you’ve heard some really good progress reports on the underground development. Last time we spoke in August, some of you have been to a site visit in September as well, we’ve laid out some of the key milestones or gating items that we think we will deliver against as we work toward the final mine design and the definitive estimate.You’ve seen in the third quarter, some tangible progress and some tangible deliverables. So, Shaft 2, construction of Shaft 2 is complete. You have seen some tangible progress on productivity, you’ve seen a decision on the mid access drive, all of which were things we had flagged as key milestones. And that’s what we’ve done, and we anticipate to do that going forward. So really, I think what you’re seeing the team to do is to focus on the controllables. We drive hard the controllables; cost, cash flow, performance, safety.You haven’t heard us tighten the range on cost or schedule so far, and that’s simply the fact that we think that we should demonstrate progress and we should show performance, not declare victory too early even though you’ve seen some encouraging signs. And in the meantime, I think some of the comments that, Luke and Jo-Anne had provided you with on financing and power, and Dalton, even to your question, Parliamentary Working Group, I think these are just discussions that you would expect us to have to move forward on some of the other critical deliverables whether it’s power or financing. But that lead time is a little bit longer than on some of the other items.So really the focus for us and for the team is on manage the controllables, deliver strong operational performance and do what we said we would on delivering the underground. That’s been the focus in the third quarter. I think you’ve seen some evidence and that’s what you should expect to see from us going forward.So with that let me leave it there. Thank you for your participation. Thanks for dialing in this morning. Thanks for your questions and with that, Jessica will close of the call. Thanks very much everyone.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.